Operator: Greetings and welcome to the Prologis First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] And as a reminder this conference is being recorded. It is now my pleasure to introduce to you Jill Sawyer, Vice President of Investor Relations. Thank you, Jill. You may begin.
Jill Sawyer: Thanks, Sean. Good morning, everyone. Welcome to our first quarter 2023 earnings conference call. The supplemental document is available on our website at prologis.com under Investor Relations. I'd like to state that this conference call will contain forward-looking statements under federal securities laws. These statements are based on current expectations, estimates and projections about the market and the industry in which Prologis operates, as well as management's beliefs and assumptions. Forward-looking statements are not guarantees of performance and actual operating results may be affected by a variety of factors. For a list of those factors, please refer to the forward-looking statement notice in our 10-K or other SEC filings. Additionally, our fourth quarter results press release and supplemental do contain financial measures such as FFO and EBITDA that are non-GAAP measures and in accordance with Reg G, we have provided a reconciliation to those measures. I'd like to welcome Tim Arndt, our CFO, who will cover results, real-time market conditions and guidance. Hamid Moghadam, our CEO and our entire executive team are also with us today. With that I hand the call over to Tim.
Tim Arndt: Thanks, Jill. Good morning, everybody, and welcome to our first quarter earnings call. We began the year with results and conditions that remained strong. Market rents have continued to grow, demand has been consistent and we're seeing sharp declines in new construction limiting future supply. While logistics real estate is very healthy, the macroeconomic picture continues to be a concern and we anticipate it could weigh on customer sentiment over the balance of the year translate into some demand that could be delayed into 2024. However, this will overlap with a slowdown of new deliveries, creating a sustained dynamic for high occupancy and continued rent growth into next year. Beginning with our results, our core FFO excluding promotes was $1.23 per share and including promotes was $1.22 per share. Our results benefited from higher NOI in the quarter but offset by approximately $0.02 of higher insurance expense from an unusually active storm season experiencing a year's worth of claims activity in just the first quarter. In terms of our operating results, both ending and average occupancy for the quarter were 98%, holding average occupancy flat for the fourth quarter. Rent change was 69% on a net effective basis and 42% on a cash basis each a record. The unusually wide spread between the two is reflective of lower free rent and higher escalations in our new leasing. Despite the step-up of in-place rents, our lease mark-to-market expanded to 68% during the quarter as market rent growth remained strong and slightly ahead of expectations. With the remaining lease term of roughly four years, this lease mark-to-market represents over $2.85 per share of incremental earnings as our leases roll the market, providing visibility to future income and dividend growth. These results drove record same-store growth 9.9% on a net effective basis and 11.4% on a cash basis. During the quarter, our efforts on the balance sheet were focused on liquidity, raising over $3.6 billion in new financings for Prologis and our ventures at an interest rate of 4.6% and a term of nearly 14 years. This fundraising total does not include $1 billion of additional capacity from a recast of our global line-of-credit, which closed in April, and brings our total borrowing potential under our lines to $6.5 billion. As mentioned, fundamentals in our markets remain strong, but we expect that a more cautious outlook will weigh on the pace of demand. This is not a new perspective as our forecast 90 days ago prepared for a weakening sentiment and how the top-down view for some occupancy loss over the year. We haven't changed that outlook, but we also haven't upgraded it despite the quarter's outperformance. As an update on proprietary metrics, our proposal activity ticked up in absolute terms and is in line with strong market conditions as a percent of available space. Approximately 99% of the units across our 1.2 billion square feet are either leased or in negotiation. Utilization ticked down to 85%, which is normalizing to a level that our customers view as optimal. E-commerce leasing increased during the quarter to 19% of all new leasing. We avoid drawing conclusions from a single quarter of activity on most metrics, but it's notable here, that e-commerce leasing picked up meaningfully back towards its five-year average. As we've said before, we ultimately look at retention, pre-leasing and rent achievement as the best real-time metrics of portfolio health, and on that basis, our results are certainly very strong. We expect that the current 3.5% vacancy rate in our US markets will build to the low 4s toward the end of the year, before turning back to the mid-3s by late 2024, due to the lack of incoming supply and accounting for moderating demand. We anticipate a similar path in our European markets, and of course, even a 5% vacancy rate is historically excellent and supportive of strong rental growth. We expect this pattern to play out in our true months of supply metric, which was a very healthy 30 months in the US and should decline into the 20s next year. We are launching markets that have large development pipelines such as a few in the Sunbelt in the US, but so far that supply also seems manageable. In Europe, most of our focus is on the UK, where development starts have continued even as demand has moderated, which will lift market vacancies and may pressure rents. And Japan is also a market which is expected to see larger increases in vacancy over the year, but similarly, expects a slowdown in new supply due to surges in land and construction costs. Taking all of these movements into account, we are holding our market rent growth forecast for the year at 10% in the US and 9% globally. In capital markets, transactions continue to be few and far between, but the pickup in activity suggests, we will see a busier second quarter. Appraised values in our funds declined 1% in the US and 2% in Europe during the quarter and 8% and 18% respectively from the peak. It's worth noting that our view of public market prices and NAVs that they have adjusted much more than is warranted for these levels of write-down. Redemption requests and our open-ended funds have slowed significantly with the redemption queue nearly unchanged around 5% of net asset value. This is reflective of both a slower pace of new redemptions as well as rescissions of prior requests. Combined with over $150 million of new commitments made our net queue is essentially unchanged from last year. Last quarter, we described our approach to fulfilling redemption requests, which is based on an overarching objective to be consistent and fair to all investors, requiring a few quarters for valuers to catch up. In that regard, as appraisal seem to be nearing fair value, we plan to redeem units in this quarter, given the swift response to value changes in Europe and expect to do the same in USLF next quarter. In turn, we view this as an excellent time to invest more of our capital into the vehicles, which we'll be doing over the coming quarters and some meaningful numbers. Turning to guidance. We are tightening and increasing average occupancy to range between 97.25% and 97.75%, a 25 basis point increase at the midpoint. Our same-store will benefit from this increase driving our net effective guidance to a range of 8.5% to 9.25%, and cash same-store of 9% to 9.75%. We are forecasting our lease mark-to-market to end the year close to 70%. Extracting the 2024 component of this suggests rent change should exceed 85% next year, even without continued market rent growth, which is a clear illustration of how our exceptional rent change will not only endure but continue to grow. We expect G&A to range between $380 million and $390 million and strategic capital revenues excluding promotes to range between $515 million and $530 million. We are maintaining our forecast for net promote income of $380 million, and given the size of USLF and the potential for small changes in value to have a meaningful impact, there is potential for upside here and we believe we have the downside covered. We had few development starts in the quarter, a reflection of our discipline, but our pipeline is deep and we are maintaining our guidance of $2.5 billion to $3 billion for the year. We expect the pace to remain slow in the second quarter, putting the bulk of the activity into the second half. It's noteworthy that following the belief that construction costs may decline in the coming quarters. We now see them as likely to increase mostly in line with inflation. As new fundraising has become visible, we forecast contributions to be concentrated in the second half totaling $2 billion to $3 billion when combined with forecasted dispositions. So in total, we expect GAAP earnings to range between $3.10 per share and $3.25 per share. We are increasing our core FFO including promotes guidance to a range of $5.42 per share to $5.50 per share, and further, we are guiding core FFO excluding promotes to range between $5.02 per share and $5.10 per share, with the midpoint representing 10% growth over 2022. I'd like to close with a few observations that we've made about our standing in the equity markets, which we found interesting and wanted to share. Today, we sit as the 68th largest company in the S&P 500 ahead of names like GE, American Express, Cigna, Citigroup, as well as Ford and GM combined. Also of notice that with our planned $3.3 billion of dividends this year, we ranked 42nd in terms of total cash return to investors. Of these top 42 dividend payers, Prologis has outgrown the group by 500 basis points per year over the last three years. And in fact, since our IPO, we have paid over $15 billion in dividends at a 15% CAGR, ranking 13th on growth in the entire S&P 100. While getting bigger has never been our objective, we thought the context would be eye-opening. So in closing, we feel great about the health of our business, even in the face of a slowing economy, most importantly, nothing we have seen alters the path of its underlying secular drivers for the long-term potential of our platform. In that regard, we're excited to tell you much more about that outlook and our platform later in the year. Last week, we announced our upcoming Investor Day to be held at the New York Stock Exchange this December. We hope to see many of you there in person and tuned into the live webcast, where we will showcase our deep bench of talents and the strong differentiators that define our company. More details on that to come. But with that I'll hand it back to the operator for your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] And our first question comes from the line of Caitlin Burrows with Goldman Sachs. Please proceed with your question.
Caitlin Burrows: Hi. Good morning, everyone. Maybe on development. Tim, you touched on it briefly, but the earnings release mentions how the build-out of your land bank is a driver of growth, and this quarter, like you mentioned starts for only like $50 million versus recent quarters over a billion. And it sounds like that is expected to ramp up significantly to over a billion again in the second half. So just wondering what metrics or other things that you're looking at to drive the starts activity? And what makes you confident that increasing starts so significantly later this year is kind of possible and the right thing to do?
Dan Letter: Hi, Caitlin. This is Dan. I'll take a stab at that. Maybe Tim can pile on then. But first of all, let me just say, our teams are very much on the offense out there. Every day our teams around the globe looking at new opportunities. We have over $38 billion of potential TEI embedded in our land bank, and we could flip the switch tomorrow and start $10 billion if we wanted to. We're going to continue to look at these deals on a case-by-case basis, but when you see the overall volatility in the market, you see the 10-year move 50 basis points, 60 basis points on a weekly basis like we have, we're maintaining the discipline, and we're disciplined because we can be. And we're ramping-up our starts towards the end of the year, while we expect to see the overall marketplace ramp down.
Operator: And our next question comes from the line of Ki Bin Kim with Truist. Please proceed with your question.
Ki Bin Kim: Thank you. Good morning. So net absorption across the US in the first quarter was a little bit lighter than what we've seen in recent memory. So I was just curious what kind of risk do you see to occupancy or rent growth as a sector tries to in the near term absorb the new supply coming through?
Hamid Moghadam: Hi, Ki Bin. This is Hamid. There's always a risk in this environment. I mean there's so many unknowables, but we've gotten spoiled to 350 million square feet of demand in the last couple of years. Let's just put this in a context. I mean in the past, we would have been very happy with even these lower levels of absorption, particularly when you consider that starts are way down and they're going to -- deliveries are going to really slow down as we go into 2024. So it's normalizing. That's the best way I can describe, but I wouldn't even be surprised if it falls further given all the stuff that we read in the papers. The CEOs that are making big CapEx decisions, basically push their people to see if they can start the week -- a quarter later or two quarters later. But that's all borrow demand, if you will, that is future demand that is getting deferred. So we're not that excited by one way or another. And just to finish the previous question that Dan started, our view, we don't have a forecast for development starts. We only have one because you guys asked us for one. We don't internally have one. We have a plan. We have entitlements on much of that land, about 80% of that land, we can start at any time. And we don't just look at our data at the end-of-the quarter. We see it every day as we lease a million square feet a day, so we can meter that development into the marketplace, as we see fit and make those adjustments. We're ready to go if we need to do more or less either way. At the end of the day, our company's story is about organic growth, and that's the high value form of growth and that's the one that we pay the most attention to, and actually, that's easier to figure out in this environment, given the very big mark-to-market which I've never seen in this business before. So in a way, our job is actually easier in terms of predictability of earnings and growth.
Operator: And our next question comes from the line of Steve Sakwa with Evercore. Please proceed with your question.
Steve Sakwa: Yeah. Thanks. Good morning. I just wanted to focus a little bit on the acquisitions, which is not a very large number in there, Hamid, but I'm just wondering what you're seeing from a distressed opportunity said, and then maybe tie into the comments Tim made about the funds and you know you tend to like you'd be putting more money into the funds as you redeem some of the partners. So just trying to put tie those two I guess capital uses together.
Hamid Moghadam: Sure. I think there is very little distress in the marketplace. Industrial real estate has done really well. I assume other people have significant mark-to-market, although I doubt if there -- it's quite the same level as ours. But there is protection in terms of that mark-to-market and other portfolios, and there are no fore sellers because leverage in the industry is pretty low. So we're not looking for distressed opportunities, but we are looking for opportunities that reflect the increasing cost of capital compared to call it a year, year and a half ago. And you should know, we look at every deal that anybody does and reads in the papers. Not hard to figure out that if you want to sell something, you call Prologis. So, you know, our feeling is people are still stuck on the old values, and buyers are expecting a substantial discount for those values. I suspect that most of those numbers will move closer together in the next couple of quarters and the market will start transacting. The funds have always been a place where we either take capital out or put capital in, and depending on the cycle of the marketplace. And back even in the global financial crisis, when AMB was much smaller and the balance sheet was weaker, we stepped in and put a couple hundred million dollars in our funds, when I thought -- when we thought that the time was right. So we continue to do the same thing. I don't think it's a big deal one way or another, but it's a great place to buy a high quality real estate that we know and we like. So that's the way we think about it.
Operator: And our next question comes from the line of Blaine Heck with Wells Fargo. Please proceed with your question.
Blaine Heck: Great. Thanks. Good morning out there. Can you talk about demand related to near-shoring or on-shoring? Which markets are seeing an outsized impact related to the trend and maybe how Prologis is positioned to benefit from it?
Hamid Moghadam: Sure. Let me start and then I'll pitch it over to Chris. The biggest impact is on Northern Mexico. Those markets along the border are literally on fire. There is no vacancy and we're seeing a lot of near shoring happening there as sort of a diversification move. We're also seeing some of the China manufacturing bleed out to the rest of Southeast Asia, but we're not really active in those smaller markets, but we do see that. And it's moving west in China and it's moving to other areas in Southeast Asia. But Mexico is the big story here. The on-shoring part, I mean, honestly, other than what I read in the papers, and the chip business which is real, the rest of it is wishful thinking mostly. So they're very isolated examples, but you look at the numbers and they are not that significant. Chris, do you want to add to that?
Chris Caton: Sure. I think that's really well described. Blaine, I'd say there isn't great data on this, but that which we see is that it is a building trend in Northern Mexico. So it takes time for those supply chains to relocate instead of the ecosystems they need to really function properly and resiliently. And that is happening and will continue to happen, so I would expect it to grow in the coming years as well.
Operator: Thank you. And the next question is from the line of Craig Mailman with Citi. Please proceed with your question.
Craig Mailman: Thank you. Maybe just a clarification and a follow-up question. Tim, I think in your prepared remarks, you said that the mark-to-market could end this year by 70% and be 85% by the end of next year in the absence of rent growth. So maybe clarify that if I misheard it. And then second question, just as you guys are seeing conditions on the ground, clearly, we saw some of the numbers you guys discussed it normalize here in the first quarter, but could you just talk about maybe how we should think about the cadence or anything incremental, what tenants are saying so that we don't get surprised the next quarter or two with some of the fundamental numbers here coming through as supply does deliver in some of the markets that have had more in the pipeline, like L.A., Inland Empire, Dallas sort of market. So then just also, you guys maintained your 10% market rent growth. Has that shifted dramatically within markets where some may have weakened significantly while others have grown? Or is it pretty consistent across the border? I apologize. I know that was a lot at once.
Hamid Moghadam: Nice try unpacking all that in one question.
Tim Arndt: I guess I will address all three of those. So I'll start, Craig, and I'm glad you asked if there was confusion on the point. You're right that we said we will -- we believe we will see a 70% lease mark-to-market of the entire portfolio at the end of this year, after we roll leases over the course of the year and we have some continued rent growth build. What I was trying to highlight there was that, if you just take out the component of that, that is rolling in 2024, to see have a sense of how this rent change is going to endure, that slice of the 70% on its own is 85% without any more market rent growth in the next nine months. So that just gives you very clear visibility on how the rent change is going to stay high, how it's going to translate to the same-store growth. So that was the intention there.
Hamid R. Moghadam: Yeah. Let me take the second part and I'll pitch it to Chris for the third part of the question. Look, you'll be surprised if we're surprised. So -- and we really worked hard at not being surprised. And the best indicator of what's happening is the ongoing leasing and proposals and all that stuff that we're involved and you guys don't really see directly other than at the end of the quarter. So I would say -- I would describe market conditions as very good to excellent. They are not exceptional like they were a year and a half or two years ago, but they are very good to excellent. The markets you mentioned LA and Inland Empire, not worried about those at all. I mean, those markets are in the one percentage -- one percentage to two percentage vacancy rate. When you get to Dallas and particularly South Dallas and some other markets like Atlanta, way down the South, et cetera, those markets through all the cycles have been prone to over-development and softening of demand when a business was down. So we're watching those very carefully, but I wouldn't characterize any of them as watchlist markets now, otherwise, we would have classified them as such. The 10% rental growth is an overall number, but there is a very wide dispersion around that 10%. And Chris, do you want to elaborate on that?
Chris Caton: Yeah, indeed, there is a wide dispersion. And we've been a customer over the years talking about outperformance on the coast and lower growth and lower barrier markets. Historically, that outperformance has averaged 250 basis points to 500 basis points on -- in any given year. This year, that 10% sees more at the lower end of that range, more like 200 basis point, 250 basis point outperformance on the coast versus the lower barrier markets. And so that is where we saw the resilience, and I would also point to other global markets outside the United States. We talked about Mexico on an earlier call. It's probably one of the hotter parts of the world from a logistics real estate perspective. We're also seeing resiliency in Toronto and Northern Europe, Germany and the Netherlands.
Operator: And our next question comes from the line of Derek Johnston with Deutsche Bank. Please proceed with your question.
Derek Johnston: Hi, everybody, and good morning. The dislocation between public and private market logistic asset values obviously is weighing on possible M&A. But as Fed policy nears peak rates and currently projects a pause, do you see valuations converging between public and private assets, and secondly, thus a pickup in capital recycling?
Hamid Moghadam: Yeah. I definitely do see a convergence over time, and private markets are always slow to adjust on the way up and on the way down because it's all backward looking appraisals and people look for comps. And -- but we don't really view the market that way and we view that disconnect as an opportunity because look, we have a very clear view of what the capital markets tell us in terms of the new cost of capital, and we're interested in deploying capital at above that new higher number. And private values are not yet there that's why we see some continued erosion on private values in the next quarter particularly in the United States. On the other hand, I think the public values are over-discounted and we see those actually picking up as there is more evidence in the private market that the world is not falling off the cliff. So I think you'll get a conversion from both sides and this is not at all unusual compared to past cycles. I would say every cycle gets a little better, but there is still a pretty significant disconnect. And of course, private values can be, whatever you want them to be if you're trying again to prove a point or trying to make a statement. So we are actually, our moat with appraisals -- appraisers that we work with is to continue to point them to the cost of capital as opposed to comps that don't exist. So we are on the other side of that argument. We're trying to get this market to get unlock and to transact and trying to get these appraisers to be realistic about their valuations. But I can tell you, based on conversations with them, they're getting a lot of pressure the other way from a lot of other people. So they find it somewhat unusual that we want to see a more aligned set of values that will unlock market and liquidity.
Operator: And the next question comes from the line of Vikram Malhotra with Mizuho. Please proceed with your question.
Vikram Malhotra: Thanks for taking the questions. So just maybe going back to your comments about more unevenness or maybe just some upward pressure on vacancy across the US. Can you just sort of give us your latest view on -- you said not worried about SoCal, but how would you rank sort of SoCal across your other coastal markets today? And if there is a sort of additional or some softening that you may see, does the Duke acquisition sort of change the overall prospects for the PLD US portfolio?
Hamid Moghadam: Well, I don't know for sure how to predict the direction of markets, but I can tell you, I don't lose any sleep over SoCal at all. I think that market is extremely tight and some of the shift in demand or softening of demand is to adjacent markets because the space just doesn't exist in Southern California. So if we had more space, I think we would have more absorption in Southern California as well. The Duke acquisition, as we've described many times, it's very aligned with our portfolio, so fundamentally doesn't change in any way our view on markets or desired allocation of our capital to those markets. It's very much aligned with the pre-merger Prologis portfolio. So the only thing I would tell you about Duke is that I -- generally speaking, based on the leases that we've done, since we acquired portfolio, we are kind of on the order of 4% to 5% higher than we thought we would be in terms of the performance of that portfolio.
Operator: And the next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: Good morning. Tim, you mentioned the fund redemption requests were unchanged at 5% of NAV. Do you still expect the redemptions to go basically down to zero in the back half of the year in light of I think you mentioned weakening sentiment on tenant demand?
Tim Arndt: Hey, John, we didn't hear any of that. Are you on a cell phone? And if you are, can you get closer to it or something because you were cutting in there?
John Kim: Is that better?
Tim Arndt: It's better. Yeah.
John Kim: Okay. Sorry about that.
Tim Arndt: So can you start all over?
John Kim: Sure. You mentioned the fund redemption requests were unchanged, but I was wondering if you expect those redemptions to go down to zero in the back half of the year as previously stated in light of weakening demand that you're seeing on the tenant side.
Tim Arndt: I don't know. I can't really predict the portfolio decisions of well over a couple of hundred different investors making those decisions differently. I would say to the extent that there is -- there are redemptions. They are generally not because of the performance of the real estate assets that are invested with us. They are either have to do with denominator issues on their other asset classes, private equity, stock bonds, et cetera, because everything has gotten hit with increased interest rates. Bonds have not been a safe place to be either. So it's because of them getting over allocated to real estate because of the decline in the value of the other asset classes more than real estate. And among real estate, if you want liquidity, where are you going to go? You're going to go to industrial. You're going to go to apartments, et cetera, et cetera. You're not going to go to office buildings because you're not going to be able to get any liquidity out of those. So that's what's driving all this. It doesn't -- I wouldn't look there for learning anything about what's going on with the industrial market because that's a reaction to a lot of different things that have nothing to do with industrial demand with supply.
Operator: And the next question comes from the line of Vince Tibone with Green Street. Please proceed with your question.
Vince Tibone: Hi. Good morning. Have you seen any material changes in tenant demand or industry-wide development starts activity since the banking crisis? And then on the latter point, has the availability of construction loans changed significantly in the last few months?
Hamid Moghadam: I'm sorry the last part was the availability of loan.
Tim Arndt: Constructions loan.
Hamid Moghadam: Construction loan. The answer to that one is --
Vince Tibone: Construction loan.
Hamid Moghadam: Yes, the answer to that one is absolutely, yes. I think there's been a significant pullback in the availability of construction loans. On the rest, I mean, what do you think?
Tim Arndt: Yes, you were talking about customer demand. We're seeing broad-based customer demand really even looking at our e-commerce, we had 40 unique e-commerce users last quarter alone with Amazon actually being a small size of that very, very small. So overall, broad-based demand, no particular pockets of softness.
Hamid Moghadam: I would say housing is probably the only, the only aspect that's a little below normal. But again, if you look at the overall numbers, these -- if you sort of forget about 2021 and early '22, and you saw these numbers that we're seeing now, you would feel really good about them. It's just that in the context of those exceptional years are a little bit softer, but they're still considered to be really good markets, Chris.
Chris Caton: Hey, Vince, I think I heard in the middle of your question, what is the trend in development starts in the wake of SVB. So it's worth knowing the numbers, which is in the first quarter in the United States development starts were off 40% from their peak across our markets and 45% in Europe. And based on the comment I made earlier around construction debt availability, these numbers are going to -- you're going to continue to see starts to curtail in the marketplace.
Hamid Moghadam: I mean, I've never seen such a fast slowdown such a sudden slowdown in construction volume in our business. It's just been -- and I'm not sure it's only -- it was related to Silicon Valley Bank. It was already happening before that, and SVB just made it worse.
Operator: And our next question comes from the line of Nicholas Yulico in Scotiabank. Please proceed with your question.
Nicholas Yulico: Thanks. I just want to go back to some of the commentary about demand may be spilling into 2024 as companies take a longer time and make financial decisions. I guess what I'm wondering is, how much is that an outlook or just broader corporations taking longer times to make financial decisions versus some of the larger categories of leasing like 3PL, general retail, but it may be expecting consumer slowdown and perhaps not fully utilizing their space. And so that's creating some delay in taking space this year.
Hamid Moghadam: The utilization rate peaked all time at 87%. And today, it's at 85%. And there is a couple of points of margin error on those numbers anyway. But -- so I would say utilization is really high. If it were -- if utilization were in the high 70s, I would tell you there's a lot of shadow space and people are going to wait to grow into that space or put it on the market for sub leasing, but we're not seeing that. So I don't think there's a lot of excess slack in the system. And even if you look at the well over publicized Amazon stories that a lot of people waste a lot of time on. I mean, they basically haven't given anything space back, maybe 7 million or 8 million square feet. Yet it's taken half the airtime on all these costs for the last year. It just has not been material. I mean, we're looking for something that just doesn't exist. Will it exist? I don't know. I'm not clairvoyant. But so far, it doesn't appear that customers are giving back material amounts of space or anything like that. It's totally within the normal band of how our business works across the cycle.
Operator: And the next question comes from the line of Michael Goldsmith with UBS. Please proceed with your question.
Michael Goldsmith: Good afternoon. Thanks a lot for taking my question. My question is on your view for the balance of the year and what has changed, if anything, on a qualitative and quantitative basis? So you provided some commentary on your cautious outlook on demand and that wasn't new, but at the same time, you took up the same-store NOI guidance, maintained your rent forecasts. Just trying to understand if there's been an evolution in your thinking on how the rest of the year plays out? Thanks.
Tim Arndt: Hey, Michael, it's Tim. Now, look, I think you heard our comments correctly and I like that you pointed out, they're relatively unchanged. The same-store move is largely a function of an occupancy move. We just retained a decent amount of occupancy in the first quarter. We think that's going to extend throughout the year, so that's two-thirds of our increase in our same-store guide. The remainder of it is frankly some outperformance in the first quarter, that's more one time in nature, deals with seasonal expenses. We had very little bad debt in the quarter, out of interest, but we don't forecast that to continue. So that's some of the one-time items, but that combination is what is impacting same-store from here.
Operator: And the next question comes from the line of Nick Thillman with Robert W. Baird. Please proceed with your question.
Nick Thillman: Hey, good morning. Retention remains pretty elevated here, but at 80%. But maybe on the tenants that don't resign, what's like their primary reason for not resigning? Is it them outgrowing their current footprint or a case of them just getting priced out of the market? Trying to tie that really to your occupancy in the sub 100,000 square foot area, it's been a little bit lighter than the rest of the leasing categories.
Hamid Moghadam: So the reason for non-renewal are either good reasons or bad reasons. The bad reason is that the company goes broke or the company -- so the neutral reasons are the company decides to go somewhere else out of one market into another market. The bad reasons are, sorry, the good reasons are that we just don't have a space that fits the growing need of that customer to be accommodated or the shrinking need of that customer to be accommodated. So they have to go somewhere else. We do track the reason for non-renewal of every single lease that doesn't renew. And one of the things that we track very closely is that we lose the space to a competitor because of pricing. And that statistic is like in the 2%, 3%, 4% range, and I think it's too low because it means that we're not pushing rents hard enough. So it's -- we're not losing tenants because of rent. We're losing tenants because we just can't accommodate them or they go broke or they move somewhere else. And those have been the reasons for the last 40 years I've been doing this.
Operator: And the next question comes from the line of Camille Bonnel with Bank of America. Please proceed with your question.
Camille Bonnel: Hello. Following up on an earlier comment about the vacancy in Southern California region being below 2%. I think the growing concern is actually on the availability rate or how much sublease activity has picked up which is something we really haven't seen in the past. So I understand, at least within the Southern California region, the supply seems manageable given how difficult it is to build in this market, but could you share your thoughts on how you think this might evolve in upcoming months? And whether or not this is a potential risk you're tracking closely?
Chris Caton: So two ways to approach that. First, I'll give you the -- this is Chris, by the way, Camille. First is the sublease data, and the second is our true months of supply data. So sublease nationally in the United States is on an availability rate basis, 60 basis points in the first quarter. The 10-year average, 60 basis points. The recent low indeed was 40 basis points, so it's moved up 20 basis points. Now the pre-COVID average or the pre-COVID low was 50 basis points and the peak in the global financial crisis was 1.1%. If you just summarize all that, first off, I'd offer that it's not a lot of availability. And the second is we're at the low end or at a normal level in sublease. And then I'd also point you to our views on true months of supply that Tim described in our earnings transcript, which said that at 30 months today, we have a very good market environment, consistent with 10% market rent growth. And as supply decelerates and slows, we think that will go back down into the 20s, improving the market landscape.
Operator: And the next question comes from the line of Ronald Kamdem with Morgan Stanley. Please proceed with your question.
Ronald Kamdem: Hey, great. Just one quick one and so on the expected vacancy rate, you talked about 3.5 currently rising throughout the year and then going back down by the end of '24. I was just wondering if you could provide a little bit more color on the supply and the demand assumptions that are going into that? How much is sort of demand normalizing, how much supply normalizing to get back to that 3.5. And the corollary to that would be, if you're expecting 10% market rent growth this year, historically, if you find yourself at that vacancy level at the end of '24, what sort of the market rent growth experience that we should have? And then the other quick one, sorry, on the 85% mark-to-market GAAP mark-to-market for '24, can you talk about what that number is for '23? Thanks.
Chris Caton: Thanks for the question, Ronald. So thank you for the opportunity to clarify our market statistics. I want to be very clear. So let's talk about net absorption in the 30 markets where Prologis operates in the United States. Last year, net absorption was 375 million square feet. We call that at 275 this year, and we expect a similar or perhaps higher numbers of macro environment clarifies and some of the decisions that get delayed this year land into '24. So that will be on the demand side completions. We have a bit of a clearer view as we look out to '24. So but starting with 2022, 375 million square feet of supply as well, that's deliveries. We expect 445 million square feet of deliveries this year as a supply pipeline empties and that will fall sharply, perhaps by half or more into 2024. And so when you put these numbers together, you'll see the vacancy rising from low 3s last year to 4 or a bit higher later this year and then back into the mid-3s.
Hamid Moghadam: The way to think about it is that demand is normalized from exceptionally high levels and the supply response has been in excess of that normalization of demand because of banking crisis and sort of macro constraints. So I think the supply response has been much more dramatic than the effects on demand. And that's why the market is going to tighten up again. Of course, absence, a calamity or something like that.
Tim Arndt: One important point to keep in mind is what is a normal vacancy rate because we have been years away from a normal vacancy rate. The historical range for our business is 5% to 10% with pricing power occurring in the 6% to 7% market vacancy rate. So we're talking about 3.5% to 4% market vacancies, half of what is typically seen as a way to see pricing power.
Chris Caton: And I would just pile on your third question there on the '24 component of our lease mark-to-market. This year, the same metric is in the low 80s. I think I intimated that last quarter on the call, just as a measure of what we expected our rent change would be this year. Those are -- I'm really talking about the same thing in that context. So roughly in the low 80s for '23.
Operator: And our next question comes from the line of Mike Mueller with JPMorgan. Please proceed with your question.
Michael Mueller: Hi. I dropped for a minute, so I apologize if this was asked. Can you talk about like the full year development start yield expectation is compared to the high 7% plus yield that you had in the first quarter.
Dan Letter: Yes. Hi, Mike. This is Dan. The yield that you saw in the first quarter was a couple of build-to-suits, really small volume. And what I would say is I would just look to last year and doing better than last year's yield on our starts this year.
Hamid Moghadam: I think the vast majority of the starts are in the 6s. And I would say the cap rates are up 75 basis points. So margins have gone from 30%, 40% to 20%, 30% something like that. I mean, those are some rough numbers.
Operator: And the next question comes from the line of Tom Catherwood with BTIG. Please proceed with your question.
Thomas Catherwood: Thanks. Good morning, everyone. I want to touch on tenant health for a bit. Obviously, we talked about higher cost of capital and less availability of debt when it comes to real estate but it's also impacting operating industries across the board. With your expectation of slower economic activity this year, are there any industries where you would be concerned about increasing your exposure at this point in time.
Hamid Moghadam: Let's talk about credit loss as a measure of customer stability. Bad debt ratio and all that. It's historically, in our business has been in the tens of basis points. Even when you had the lapse in demand in the immediate aftermath of COVID that number got to 60 basis points. So -- and Chris, what would you guess our number is going to get to in the cycle when it's all over in terms of bad debt.
Chris Caton: I'd say 20, I'm jumping in here. I think 20 will be on average.
Hamid Moghadam: Yes. So I mean, we don't see it in the numbers and the number of bankruptcies, et cetera, et cetera, that we're monitoring and working on are really not unusual in fact, I would say, that's somewhat unusual. I was expecting more of them than we're seeing in this point in the cycle. And honestly, we would like to see more of them because, frankly, there's so much mark-to-market in those leases that those kinds of tenant departures are actually an upside. So if anybody sort of has problems with their business or is looking to downsize. We look at that as an opportunity to do a buyout and actually be able to extract higher rents in the marketplace. So really not a concern. And that number -- those numbers that I talked about are out there. You can go look at them and plot the curve. They've been coming down substantially as opposed to from very low levels, but they're still coming down.
Tim Arndt: I might add on to that one final thought, which is I think the 20 that I'm throwing out is a reflection of some mix shift on credit, I think, in the last five years with the markets this tight, we've not only been able to push rents, keep the portfolio occupied, but we've been greatly enhancing the credit profile of our rent roll, and we think we've got a really strong customer base.
Hamid Moghadam: Yes. One final statistic that you guys don't have visibility to, but I'm reading off my sheet of stats here. Historical average of credit watch tenants for us, long-term historical average has been 4.9%. We just watch them. By the way, the average actual default has been 0.15. So we worry about a lot more things than we should. That credit watch number today is at 3.35. So it's down substantially. And so is the actual bad debt ratio. So we worry about a lot of things, but most of them don't actually happen and the numbers are actually quite healthy, not just -- not even adjusting for the cycle and the fact that it's a softening cycle, but just even in the best of markets, these statistics would show up as very good.
Operator: And the next question comes from the line of Todd Thomas with KeyBanc. Please proceed.
Todd Thomas: Hi. Thanks. I wanted to follow up on the demand environment and your comments about a more challenging macro in relation to the development starts. I guess, how much visibility do you actually have on starts in the second half of the year as it pertains to the full year target of $2.5 billion to $3 billion? How quickly can that ramp up? And then development yields for what's under construction, they were higher by 20 basis points versus last quarter on the '23 and '24 under construction pipeline. Is that due to improved economics around rents or moderating construction costs which I think you mentioned or really a combination of the two? And do you expect to see further improvements in development yields as you look out in the future?
Hamid Moghadam: Yes. Most of our land is entitled and entitlement is a pretty broad definition. I mean, fully entitled means that you pulled the building permit on this specific building that you can start but you might have entitlements and you haven't pulled the specific building permit because you don't exactly know how big a building you're going to build or in what configuration. But 80% of our land is entitled in terms of discretionary entitlements and about 20% to 30% of our land is really good to go with building permits pulled. So that is not a limiter on our ability to start development. So we can start whatever development we want to as we monitor the marketplace. The reason for development yields going on -- going up is that rent growth has been higher than we forecast. And the costs are essentially the same because we've locked in some of those construction values on the buildings that are starting today. The comment about construction cost has nothing to do with what you're seeing on the starts today. It will affect yield on starts down the road. Our view has changed. That's one area where our view has changed materially. We thought there would be some softening of construction costs to the tune of 5% to 10% and because of IRA and all this new fiscal stimulus going into the construction industry, I mean, it uses the same labor, same materials and everything. Contractors still have pretty good pricing power. So that -- what we thought was going to be a 5% to 10% decline, it's going to be inflationary increase. So the swing is actually pretty material. Having said all of that, the rental growth more than makes up for it. So I think our yields are trending up.
Operator: And the next question comes from the line of Anthony Powell with Barclays. Please proceed.
Anthony Powell: Hi. Good morning. Quick one for me, I guess, any change in the tenor of conversations with your lending partners or underwriters after the SIVB collapse? Or are you seeing just increased confidence from your partners that you seek to do financing in the future?
Hamid Moghadam: They're asking us a lot of money. No, it's not really. I mean where that balance sheet is bulletproof. I mean, frankly, we have better balance sheet than most of our banks. So no and we're not really a bank borrower per se, we tap into the capital markets all the time.
Operator: And the next question comes from the line of Michael Carroll with RBC. Please proceed.
Michael Carroll: Yeah, thanks. I just wanted to follow up on your planner potential willingness to invest into the property funds. And can you quantify how much you would like? Or are you willing to invest in those funds? And are there any particular ones that you would want to invest in like USLF or PELF or is that still a TBD right now?
Hamid Moghadam: Well, we're going to invest in PELF sooner than USLF because we think the value adjustments in Europe have been quicker than they have been in the U.S. But I suspect we're only a quarter or so away from even the U.S. adjusting to a normalized value at least we hope. So look, it's a $140 billion balance sheet. So even if we just wanted to allocate 1% of it, and I'm not saying we're going to allocate 1%. I'm just kind of size the issue for you, that could be $1.5 billion. We're probably not going to invest $1.5 billion, but it's got to be like a small portion of our overall balance sheet. But we love that stuff because we know it. We like it. It's exactly the kind of property we want to have. And redemptions give us a really good opportunity to do that without affecting the strategy of the fund.
Operator: And the next question comes from the line of Jamie Feldman with Wells Fargo. Please proceed.
James Feldman: Great. Thank you. I thought your commentary on credit was pretty interesting in terms of how low it is. I guess you have such a wide view of what's going on in the world. Can you just talk through maybe across your regions, some of the data points you're seeing that either give you some confidence in where the economy is heading or give you some concern about where the economy is heading and how that factors into where you want to put capital to work?
Hamid Moghadam: I'll just take two things. This is more a global comment than US comment. Japan is having more supply than it normally has, but demand is actually still pretty strong. I'm a little worried about vacancy rates in Japan going up into the mid-teens. So that's one place we're seeing it. The U.K. has actually been pretty surprisingly good on the industrial side. If you look at the headlines for the U.K., you would expect more trouble than what we're seeing in the industrial market. In the U.S., it's -- I can't think of a trend that it's worth talking about that. The markets are generally pretty good. I mean can you guys think of anything?
Chris Caton: Hey, Jamie, it's Chris Caton. There's been a lot of economic news over the last few weeks, and I think there are probably three takeaways. The first is consumers are stable, notwithstanding all the noise in that. And it seems to be treading towards perhaps GDP growth of 2%, if not a bit higher. Second, I think quite clearly, e-commerce is reaccelerating with online shopping, now back on trend taking 100 basis points of share from in-store. And the third is, indeed, inventories are rising but they have not yet risen to pre-COVID level, little on a higher level for resilience.
Hamid Moghadam: With Jamie's question, that's the last one in the queue. I wanted to thank all of you for participating in our call. We're excited over here because it's our 40th anniversary that we'll be celebrating in June. And there are going to be lots of opportunities between the investor meeting later on in the year and also GROUNDBREAKERS where we will be speaking to you. So I look forward to seeing all of you and take care.
Operator: And that concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a great day.